Operator: Good day, everyone, and welcome to today's Century Casinos Q2 2025 Earnings Call. [Operator Instructions] Please note this call is being recorded. [Operator Instructions] It is now my pleasure to turn the conference over to Peter Hoetzinger. Please go ahead, sir.
Peter Hoetzinger: Good morning, everyone, and thank you for joining our earnings call. We would like to remind everyone that we will be discussing forward-looking information under the safe harbor provisions of the U.S. federal securities laws. The company undertakes no obligation to update or revise the forward-looking statements, and actual results may differ from those projected. Throughout our call, we refer to several non-GAAP financial measures, including, but not limited to, adjusted EBITDAR. Reconciliations of our non-GAAP measures to the appropriate GAAP measures can be found in our news releases and SEC filings available in the Investors section of our website at cnty.com. After our prepared remarks, we will open the call for questions from analysts. My co-CEO, Erwin Haitzmann; and our Chief Financial Officer, Mrs. Margaret Stapleton, will join me for that. We announced strong second quarter results this morning. Both revenue and adjusted EBITDA were all-time records for a second quarter. Revenues were $150.8 million, driven by strength in Missouri, Canada and Poland. EBITDAR came in at $30.3 million, a 50% sequential increase and a 10% increase over Q2 of last year. The strong EBITDAR growth was broad-based with every region except Nevada, contributing positive growth. Our results were supported by continued strength in play from our core customers as well as improving trends among retail and lower- end customers. More color and granularity on the individual properties and markets will come from Erwin shortly. It was a busy quarter for us. In addition to the strong operational performance, let me point out a few of the other highlights. In May, we announced a partnership with BetMGM to operate an online and mobile sports betting application under our license in Missouri. The agreement includes a percentage of net gaming revenue payable to us with a guaranteed minimum as well as retail sportsbook options to be exercised at our discretion. Sports betting is expected to go live in Missouri in December of this year, so we expect to see meaningful contributions from BetMGM in our financials in 2026. Also in Missouri, the new property in Caruthersville continues to perform really well. The increase in net operating revenue and EBITDAR since the opening of the new casino and hotel on November 1 last year is 26% and 31%, respectively. In Poland, we were notified in June that we have not received a new license for a second casino in Warsaw. However, the license for our flagship casino operation in Warsaw at The Presidential Hotel, the ex-Marriott, runs through 2028. For Poland's third largest city, the city of Wroclaw, we have been awarded an additional license and we expect to open that casino in the fourth quarter of this year. We are still committed to divesting our Poland operations. In fact, we do expect to sign a letter of intent with an Eastern European gaming group next week. So we'll be under exclusivity on our Poland business shortly. We will provide updates on the Poland divestment process in the coming months as appropriate. And with that, over to you, Erwin.
Erwin Haitzmann: Thank you, Peter, and good morning, everyone. I will provide an overview of the performance of our assets for the second quarter, starting with Missouri. Our new Caruthersville Casino and Hotel property, which we opened on November 1, 2024, continues to be very successful in the second quarter. Total revenue grew 24% and operating expenses and the comps were tightly controlled. This resulted in a 30% increase in EBITDA from $4.7 million in Q2 '24 to $6.1 million in Q2 '25 and a healthy 43% margin. These growth numbers are driven by double-digit percentage increases in the properties' customer base across all segments, specifically the high-value customers, all age groups, particularly those aged 30 to 39 and all distance ranges with special mention of the 75-plus mile distance range, which increased by 41%. The number of visitors increased by 20% quarter-over-quarter. Caruthersville is situated in the Missouri Bootheel, approximately 95 miles north of Memphis. Tennessee customers contribute about 50% of the revenue with the remainder split among customers from Missouri, Arkansas and other states. The property is conveniently accessible by car with ample parking and the new hotel and amenities are drawing patrons from longer distances. The project cost of $51.9 million was funded through financing provided by VICI through our master lease. As a result, rent due to VICI increased by approximately $1.1 million per quarter. The property's EBITDAR after subtracting the VICI rent was up over 10% compared to Q2 of last year prior to the increase in rent. The transition from the old riverboat was partly driven by our desire to provide significantly improved entertainment and hospitality experiences to our customers and partly by the necessity of moving off the Mississippi River onto the protected side of the floodwall. So far, the property has exceeded our expectations, and therefore, we couldn't be more pleased with our new Century Casino & Hotel Caruthersville and the continued growth we expect at the property. Now on to our Century Casino & Hotel Cape Girardeau. This property was built to high standards in 2012. We purchased the operating company in late 2019, and VICI acquired the underlying real estate at the same time. In 2022, we decided to build a hotel to complement the property's amenities and to prepare for an incoming competitor in Illinois. The Riverview hotel opened in April 2024. In the second quarter of '25, the hotel continued to grow its cash revenue, which more than doubled compared to the same quarter in 2024. The hotel drove incremental food and beverage revenue, F&B cash revenue grew 31%. And most importantly, it increased associated gaming revenue, which was $556 per comped hotel guest in the second quarter. The ADR for retail customers was $151. We are very pleased with the results of the hotel as we have absorbed the new competition by expanding the reach of the property with patrons from outside of 75 miles increasing by 28% since the hotel opened. We continue to refine our strategy with the hotel and believe we have ample room to grow given our current occupancy rates and the value of gaming customers who stay at the hotel. Overall, gaming revenue remained slightly behind last year. Severe storms and tornado activity in April heavily impacted the property. A total of 9 days were affected, 5 weekdays and 4 weekend days with much of the Illinois market blocked off due to flooding on those days. However, because of well-controlled expenses, the property's EBITDAR increased namely by 3% to $6.5 million, resulting in a margin of 37% in the quarter. Looking ahead, we are particularly excited about our partnership with BetMGM. We plan to launch online sports betting in Missouri at the end of this year and have begun preparing for a fantastic BetMGM-branded retail sportsbook. This will enhance the property's appeal as a prime regional entertainment destination, driving further revenue and profitability growth. Continuing with the Midwest segment, let's review the performance of our operations in Colorado. Century Casino Cripple Creek had an excellent second quarter. EBITDAR was $1.9 million compared to $2.4 million in Q2 of '24. The $2.4 million, however, includes a breakage fee from the termination of a sports betting agreement in May of '24, amounting to $850,000. Therefore, on a comparable basis, EBITDA was up 23% in the quarter. As you will recall, we eliminated live table games at our Colorado properties in Q1 2025. The cost saving effects from eliminating live table games far exceed the lost revenue. The all-new prominently located electronic table games lounge, the first in this gaming market, proved to be a popular alternative for our customers. Although we saw a decline in trips and visitors in this quarter, the average spend per trip was up by 28% with our higher-value segments performing very well. I should also mention that we finished a complete redesign of the main entrance to the casino in this quarter. Previously, this corner was somewhat tucked away and difficult to access from the sidewalks. Now we have a wide entrance on 2 sides, newly designed and levee stairs connecting to the sidewalk and the prominent Century Casino sign above the entrances. We believe that this project along with the numerous minor improvements we have made to the property over the last 12 months contributes to the property's continued success. To sum it up, we are very pleased with this asset in our portfolio, which we have fully owned and operated for over 30 years. As for Century Casino Central City, we reported on the Q1 earnings call that Q1 was a transitional quarter for Central City with multiple cleanup initiatives started and completed. We are pleased to report that these efforts began to yield results in the second quarter. EBITDAR was $910,000, which is flat to the same quarter of last year when adjusted for $200,000 less revenue from sports betting. The EBITDAR margin at this property was just below 20% compared to 40% at Century Casinos Cripple Creek based on very similar net operating revenues. The difference is due to significantly higher gaming and property taxes as well as the higher marketing spend due to the strong competition from Black Hawk. This property traditionally had a fair amount of play from retail customers who preferred not to join the property's loyalty club. The retail segment decreased during that period, while carded revenue remained almost flat. We maintained our focus on driving continuous improvement and increasing revenue and profitability at this property. We have owned and operated Century Casino Central City for almost 20 years, during which time we have seen competitors come and go in the Central City gaming market. Now let's take a look at the performance of our East segment. Our Mountaineer Casino Resort in West Virginia had an excellent second quarter. EBITDAR was $4.1 million compared to $3.6 million in Q2 of '24, an increase of 12%. Total revenue was up 3%, driven by a 39% increase in iGaming revenue, which offset a 6% decline in table games revenue. Operating expense savings of 7% were achieved through improvements and efficiencies pronounced in procurement and internal processes. In this quarter, we completed the full remodel of the facade and porte-cochère of the property's main casino entrance, which now provides a much improved sense of arrival and excitement. Following a strong Q1, despite some weather disruptions, first half year EBITDAR in Mountaineer is up close to 10%, and we expect continued strong performance at the property going forward, noting there will be some noise in the Q3 numbers from onetime impacts in Q3 of last year. Let's move on to Rocky Gap Casino Resort in Maryland. Rocky Gap's second quarter was again challenged by significant weather events, including a total of 9 storms and flooding incidents. Although the weather was not helpful for a full reversal of EBITDAR declines in this quarter, we have seen significant improvement since the first quarter. Overall, carded gaming revenue increased by 7%, and the average spend per trip increased by 9%. Specifically, the month of June marked a clear turnaround. Even with one fewer Saturday compared to last year, we saw slot revenue increase by 9% compared to the same period in '24. Importantly, retail and low [ ATT play ] started to improve in June, driven by upward trends in the local economy and consumer confidence and our new direct mailer strategy. As a result, in June, revenue grew 7% and EBITDAR grew 21%. July is trending positively as well with slot revenue 8% up. Given these trends, we are optimistic about Rocky Gap for the remainder of this year and moving the property back to its prior levels of profitability. Moving on to the West segment with the Nugget Casino Resort in Reno-Sparks. We are not yet where we want to be with the Nugget. EBITDAR for the quarter was $2.3 million, representing a decrease of approximately $550,000 from the same quarter last year. What did not work out in this quarter were the concerts at the property's 8,500-seat outdoor event center, which did not yield the expected returns due to a lack of ticket sales. Fewer visitors at the concerts created a ripple effect on gaming, food, beverage and hotel revenues. To further expand the resort's amenities, we introduced the Karma Nightclub and also welcomed Magique, an acclaimed attraction show, which performs on Saturday nights at our iconic Celebrity Showroom. We are continuing to work diligently on expanding our market share among both local and nonlocal customers. We continue to scrutinize the resort's cost structure and marketing program, making significant progress towards a streamlined operation, and we look forward to upcoming events such as the Rib Cook Off, which will take place in late August and early September. Now some updates about our operations in Alberta, Canada and Poland, Europe. In Canada, slot coin in was up 6% and EBITDAR grew 2.8% from $5.4 million to $5.6 million year-over-year. Almost half of the growth was driven by Century Casino St. Albert, which has been performing exceptionally well since the completion of the exterior modernization of the building in April. This came after the modernization of the interior of the building last year. We have other renovation projects across our Canadian portfolio that we expect to yield similar positive results. In Poland, the year- over-year comparison is not meaningful because the number of casinos in operation was not the same. Operational breaks have impacted the last quarters due to delays in license renewals. There is no license expiration scheduled until 2028, so no operational interruptions or downtimes are expected. We continue to successfully redirect guests from our recently closed casino at the Warsaw Hilton to our flagship casino at The Presidential Hotel in Warsaw, previously known as the Warsaw Marriott. While the ramp-up of the relocated Wroclaw Casino is well on track, we will open our second Wroclaw casino in Q4 of this year, which will further strengthen our position in the Wroclaw market. In Q2, total revenue grew 23% year-over-year, resulting in a 306% increase in EBITDAR from $0.5 million in Q2 of '24 to $1.8 million in Q2 of '25. With the second part of the Hilton closing costs to be digested in Q2, we expect to return to normalized results starting in Q4 of this year. As Peter mentioned, we remain committed to divesting our Polish operations and will provide further updates as appropriate. With that, back to you, Peter.
Peter Hoetzinger: Thank you, Erwin, and we're moving on to cover a few balance sheet and capital items. I'm happy to report that we turned cash flow positive in the quarter. Our cash and cash equivalents at the end of the quarter were $85.5 million compared to $84.7 million at the end of Q1, and that includes $5.8 million in CapEx and $1 million we spent on the share buyback program. The total principal amount of debt outstanding was $338.1 million, resulting in net debt of $252.5 million. At the end of the quarter, our net debt-to-EBITDA ratio improved from 6.9x 3 months ago to 6.2x. On a lease-adjusted basis, the ratio came down from 7.6x to 7.3x. And we expect these ratios to go down further in the second half of the year. And let me also note that we have no debt maturities until 2029. The recent investments in our property portfolio are evident and our properties have never looked better. There is no need for significant CapEx this year or next. We expect to spend no more than $20 million in total for growth and maintenance projects this year, of which we have spent $10 million already in the first half. As predicted in our last earnings calls, the returns on our investments, together with the reduction in CapEx this year and next, produced meaningful improvements in free cash flow compared to last year. As we look ahead, we are confident in our business prospects. Last year was a transitory period for us, but now we see a clear path forward to higher EBITDA and cash flow for 2025 and beyond. Now it is all about harvesting what we have invested last year. We are encouraged by the recent trends in our business. And while we recognize the level of economic uncertainty, we are more confident in the long-term prospects of our company than we were at any point last year. Since mid-March, our unrated and lower-tier database customers have returned to growth and that consumer strength continued into July. While a few months don't quite make a trend, we are cautiously optimistic about the outlook. We feel that optimism will be further supported by the anticipated improvements in consumer sentiment and spending power from the One Big Beautiful Bill, specifically the benefit from no tax on tips as well as an uplift from the increased deductions for seniors, considering seniors make up about 1/3 of our customer base. It's also worth noting that we do not anticipate any new significant competitive supply impacting us this year and next. And we are not directly impacted by tariffs hardly at all. We just don't see it in our business. In our last earnings call, we announced a share buyback program, and I'm happy to report that we repurchased 428,734 shares at an average price of $2.12 per share during Q2. We feel good about the direction of the business overall. We have a solid cash position of around $85 million and believe CNTY is one of the best investments with high growth potential out there. Hence, we are considering continuing the stock buyback program in the coming weeks if and when legally permitted. As you have seen in our earnings release, we have initiated a comprehensive strategic review of our operations, our capital structure and our strategic growth options. The trigger for it was the high number of third-party inquiries about potential asset sales and strategic partnerships we received over the last few months. We want to put all that into a structured process and see what's out there in terms of interest and possibilities. This proactive review will explore a range of potential strategic alternatives aimed at enhancing shareholder value and supporting long-term growth. These alternatives may include opportunities to unlock value within our existing property portfolio, optimize the company's capital structure, evaluate potential mergers, strategic partnerships or the sale of the entire company and analyze potential divestments of assets or other asset level transactions. In connection with this process, we have engaged Macquarie Capital as well as the law firm of Faegre Drinker to assist in the evaluation. The strategic review follows our recent substantial CapEx program and solid operational performance reflects the company's proactive approach to positioning it for future success in an evolving market landscape with a clear focus on optimizing shareholder value. At this stage, no decisions have been made, and there can be no assurance that the review will result in any transaction or particular change. The company does not intend to make further public comments on the process unless and until the company's Board of Directors approves a specific course of action. With that, I ask for your understanding that we will not take questions on this topic in our Q&A session as we cannot share any incremental information at this time. All right. That concludes our prepared remarks. We'll now open the call for Q&A with the analysts. Operator, go ahead, please.
Operator: [Operator Instructions] If we do not get to your question, please reach out to the company using the Investor Relations page at cnty.com. And our first question comes from Jeff Stantial from Stifel.
Jeffrey Austin Stantial: Maybe starting off on the East segment and specifically at Rocky Gap, really strong margin performance there in the quarter up year- on-year. I mean Erwin, you talked about pretty significant weather disruption and with that, that usually comes high flow-through and negative margin impact. So can you just unpack that a little bit further for us? I guess, what's driving that improvement in margins? Where is the cost containment and cost improvement coming from? Just any extra color there would be helpful.
Erwin Haitzmann: Certainly. Thanks, Jeff. First of all, we see that a little movement in the lower end. So we see some comeback of the lower-end customers as we went into the end of the second and beginning of third quarter. And secondly, we are now detailing in a much more granular fashion our marketing strategy. We see more slot revenue. We see higher hotel revenue, particularly also higher cash hotel revenue and a mix of the improved and more fine-tuned marketing concept together with our also improved product. As you know, we have a very nice [indiscernible] integrating the hotel leads to higher occupancy, both in the hotel and the casino.
Jeffrey Austin Stantial: Great. That's helpful. And then maybe shifting gears over to capital allocation. Peter, you repurchased [ $1 million ] of stock during the quarter. If I recall correctly, I believe at Q1, you had mentioned potentially buying a slightly larger amount between Q1 and Q2 earnings. So if my memory is accurate there, is the shortfall or the lower amount repurchase just attributable to blackouts? Or is there sort of another reason maybe why you decided not to repurchase as much stock as initially expected? And then more thematically, looking forward, I'd love to just get your updated thoughts on allocating capital towards repurchases versus debt paydown, just given we seem to be in a bit of an interesting dynamic right now where, to your point, [ unrated ] and some of the regional fundamentals continue to improve or get better, but at the same time, some of the macro data is starting to move in the wrong direction for the first time. So just any thoughts there would be great.
Erwin Haitzmann: Peter?
Peter Hoetzinger: Yes. Indeed, we've aimed for a higher dollar amount. But we are doing the repurchases under a 10b5-1 plan, and that has certain limits to it, volume limits, timing limits and that resulted in basically us not having the opportunity to spend all the money that we have allocated for it. And yes, going forward, we'll balance between stock buybacks on a limited scale. And we're also looking at the interest rate environment and what we can do with the debt refinancing from our side possible at any time. As soon as the window opens, we want to do that. And in terms of using a larger cash amount to buy back our debt, the significance will kick in once we are talking about $10 million, $20 million, $30 million. And so I think that for that, we -- for a larger investment into our Terminal B, we look for a positive outcome of our Poland divestment. And I think before that, we will probably not do a very large Terminal B repurchase.
Operator: And our next question comes from Ryan Sigdahl from Craig-Hallum Capital.
Will Yager: This is Will on for Ryan. First, I wanted to touch on Poland. You saw some nice year-over-year growth there. Is that just attributed kind of to the timing of licenses and openings? Or is that something we should see continue? And then on the divestment process there, is this a talk with a different party than you've been having discussions in? Or is it a new one?
Erwin Haitzmann: Peter?
Peter Hoetzinger: Yes, I covered the divestments. It's with a new party. It's with a new party. And then turning to Operational strength, yes, back to Erwin for that one.
Erwin Haitzmann: Could you be kind to repeat the operational question?
Will Yager: Yes. Just in terms of your year-over-year growth in Poland, we saw a bit of an uptick here. Is that just a timing thing with the licenses and openings? Or what can that be attributed to?
Erwin Haitzmann: When all licenses opened in the past, we made significantly higher both revenue and EBITDA. And yes, it is true that it has to do with the fact that in the comparative Q2 of last year, we had less casinos open simply due to the fact because the licensing process got delayed. But what you start seeing now is the start of the comeback to the old numbers, which we hope we can start to -- we achieve again in Q4, as I mentioned in the prepared remarks.
Will Yager: Great. And then my last one, just on the regional environment in general. It seems like we've been seeing a trade down at least among peers kind of maybe it's people staying home from Vegas, maybe it's just a trade down in general. But curious if you're seeing any of those benefits. It sounds like you are kind of in July and if we should expect those improvements to continue at your regional properties going forward.
Erwin Haitzmann: Yes, definitely. We saw it in June, starting with we saw it in July, and it also continues in August. So we are between cautiously and normally optimistic about a change in the consumer sentiment and that change is starting to show nicely in our revenues in the various sectors already.
Operator: And our next question comes from Chad Beynon from Macquarie Group.
Chad C. Beynon: I wanted to start with the West region. In the prepared remarks, you talked about some of the items in Reno that were headwinds related to some of the conference calendar issues. It appears that the market grew pretty well in the second quarter. So can you just talk about how the outlook maybe for the conference center for conferences, for concerts kind of looks in the back half of the year? And if you think this will help you get back to some of the market share levels from prior years?
Erwin Haitzmann: Concerning the conferences, we think we're looking into the years '26, '27, '28, we are already -- and for the future years are confident that we can reach the previous level that was there before we took over. Concerning the year 2025, with the conferences, there's really not much we can do. We can only take short-term events. But typically, the conference planning has a lead time of 2 to 3 years. So this year will be less conference business than last year. Now in general, we are feeling good about the booking trends at the Nugget. Both comp and retail rooms for July were about 2% up, and that certainly marks a reversal from the declines in the second quarter. And looking at August, retail rooms are going to be significantly up. At the moment, we project something like 32% up, which is really encouraging. And on the side of the comp rooms, comp rooms are typically booked more last minute, but they also tend to follow the pattern of the retail rooms. So even also there, we think there is a good chance for a higher -- for better numbers and upside. There's a lot of rate activity in the market, and we are adjusting pricing as required to gain market share and maximize our occupancy. In the immediate future of this month, we are looking for the best in the West Nugget Rib Cook Off, which will take place from August 27 to September 1, largest event of the Nugget. Ticket sales for this year's Rib Cook Off are promising. We're hoping to beat last year's revenues. With regards to the -- on the marketing side, we rolled out the new loyalty club at the start of the second quarter. And with that, we offer competitive point multipliers, tier level multipliers and an additional food and beverage comp bucket in addition to the regular cash back. New marketing initiatives and rewards have been introduced to drive our competitiveness in the market, and we'll do more of that in the coming quarters.
Chad C. Beynon: And then on the Big Beautiful Bill, Peter, you outlined some of the benefits for your consumers. But as it relates to Century, whether it's accelerated depreciation or lower cash taxes, are you expecting any benefit this year or more importantly, in '26 and '27 as the business grows and maybe the cash tax outflow could be greater. Could you see a benefit from some of the changes that are being proposed?
Peter Hoetzinger: Peggy, can you help us there?
Margaret Stapleton: Sure. Chad, so the Big Beautiful bill, the depreciation does not really affect us nor does -- will there be a major impact on cash taxes due to the fact that we have deferred tax assets that we're still carrying forward. So anything coming out of that bill will basically be offset by our losses that we'll be utilizing.
Operator: And our next question comes from Jordan Bender from Citizens Bank.
Jordan Maxwell Bender: I want to start on Canada. So nice results returning to growth there, kind of beating our expectations. I know that's kind of more of a local market, but are you seeing any strength or benefit from people not making trips into Las Vegas? I mean that's been a pretty big topic among some of the [ strip ] players that Canadian travel is down. So are you seeing any of your players kind of staying closer to the home, which is benefiting you?
Erwin Haitzmann: Thanks for the question, Jordan. I think we can -- it's hard for us to judge how people go less -- whether or not they go less to Vegas or not. But we certainly see, as we also indicated that we have a larger reach now. So that is on the one hand, due to our better capacity, better product, more and better hotel rooms, but people that have not been coming before from 75, 80, 90 miles are now coming. And it may well be that these people say, well, we'd rather sit in the [ current drive ] as opposed to flying to Vegas.
Jordan Maxwell Bender: Right. And then just to maybe follow up on sports betting in Missouri with BetMGM, nice agreement there. Is there any way to -- whether it's quantify the potential positive impact through revenue or conceptually just talk about what that means for your business once that agreement starts on December 1?
Erwin Haitzmann: Peter, do you want to talk about the economic impact that we're expecting? I could certainly mention that the retail we do in Cape Girardeau will be great for operations.
Peter Hoetzinger: Yes, we haven't disclosed detailed numbers. It will be -- you remember in Colorado, we got close to $1 million per license. It will be a little less in Missouri.
Operator: And our next question comes from Connor Parks from CBRE.
Connor Joseph Parks: Big picture one for me. You've mentioned in the past a path or at least a long-term goal to reach $150 million of EBITDAR in the past. Sitting here today, is this still a reasonable target now that we're a handful of quarters into seeing returns from recent CapEx in Missouri? And I guess, have ROI expectations changed at all in Missouri sitting here today versus a handful of quarters ago?
Erwin Haitzmann: I would say, yes, the $150 million is a reasonable target. Peter, would you like to add to that?
Peter Hoetzinger: Yes. What we need to -- I think our properties are in great shape after extensive CapEx program that we have done over the last 18 months. So from that point of view, there are properties -- the properties, I think, can do the $150 million. We need the retail and lower-end customer to come back -- to continue to come back. And I think what goes a little bit hand-in-hand with that is some positive movement on the interest rate front because that certainly helps the retail and lower-end customers. And if we have a little bit of help, a little bit of tailwind on that side, then our property portfolio is good for $150 million EBITDAR.
Connor Joseph Parks: Great. And just one follow-up for me. Good color in Colorado and the 2 properties there. Maybe focusing in on Cripple Creek, newer competitor across the street. Just thoughts on the overall impact to the market and specifically to your property there with the new entrants to that market.
Erwin Haitzmann: Sure. Thanks for the question, Connor. We have seen that the new competitor has been very helpful for our business. And we -- I think we get some overflow business from them. As you know, we are exactly diagonally across the street, and we see a good [ mutual fertilization ], I might say. It's -- they have excellent stickers, as you may know, they have excellent rooms. And in spite of that, our room occupancy is basically most of it cash business. And on the weekends, we are typically sold out in spite of the fact that we only have less than 30 rooms, and there are 300 rooms across the street. So this -- the advent of the new competitor of the Chamonix has been nothing but good for us. And we also are in good communications with the management there. And we think that jointly looking into the future, they and us might think about ways to further develop that intersection of Bennett Ave and [ 2nd ], which interestingly, in the past in the 1900s has been the center of Cripple Creek due to the fact that the way Bennett goes all the way down from the east to the intersection and then goes up the hill on the west. So all looks good.
Operator: And at this time, there are no further questions. I'd like to turn the call back over to our presenters for closing remarks.
Peter Hoetzinger: Very well. Thanks, everybody. We appreciate you joining our call today. We'll talk again in early November. Until then, thank you, and goodbye.
Operator: This does conclude today's Century Casinos Q2 2025 Earnings Call. Thank you for your participation. You may now disconnect.